Operator: Greetings, and welcome to the Intellicheck Mobilisa Third Quarter 2012 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Mr. Enrique Briz, DGI for Intellicheck Mobilisa.  Thank you. You may begin. 
Enrique Briz: Thank you, operator. Good morning, and welcome everyone. Thank you for joining us today for our 2012 Third Quarter Conference Call to discuss Intellicheck Mobilisa's results for the fiscal quarter ending September 30, 2012, and to discuss other business developments.
 In a moment, I will call upon our CEO, Mr. Steve Williams, to lead today's call and introduce the members of the Intellicheck Mobilisa management team, who will be participating in today's conference call. Before I do that, I will take a few minutes to read the forward-looking statement.
 Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. When used in this conference call, words such as will, believe, expect, anticipate, encouraged and similar expressions as they relate to the company or its management, as well as assumptions made by and information currently available to the company's management, identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995.
 These forward-looking statements are based on management's current expectations and beliefs about future events. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company is under no obligation to, and expressly disclaims any obligation to update or alter its forward-looking statements, whether as a result of such changes, new information, subsequent events or otherwise.
 Additional information concerning forward-looking statements is contained under the heading of Risk Factors listed from time to time in the company's filings with the Securities and Exchange Commission.
 Management will use a defined financial term, adjusted EBITDA, in today's call. Please refer to the company's press release issued this morning for further definition of, and context for, the use of this term.
 I would now like to introduce Mr. Steve Williams, Intellicheck Mobilisa's Chief Executive Officer. Steve? 
Steven Williams: Thank you, Enrique. Good morning, good afternoon to some of you, and thank you for joining for our call.
 Let me first begin by introducing our leadership, our Board of Directors, chaired by Dr. Nelson Ludlow; General Buck Bedard; Ms. Bonnie Ludlow; Admiral Mike Malone; Mr. Woody McGee; and Mr. Guy Smith.
 The members of the management team: myself, the Chief Executive Officer, Steve Williams; the Chief Financial Officer, Mr. Bill White; the Chief Technology Officer, Mr. Russell Embry; and our Senior Vice President, Ms. Bonnie Ludlow.
 Let us begin with an overview of the quarter results. Our revenues are $2.12 million. Net income for the 9 months is a loss of $306,000. Adjusted EBITDA for 9 months is $567,000.
 Let's go a little deeper into the 3 business units. Our focus on commercial identity systems continues to be on private label credit card issuance with some of the major banks.
 Our secondary focus is loyalty programs as well as loss prevention. As you've heard in previous quarters, we continue to pursue hospitality as we -- or we've announced last year, the Motel 6, and we'll continue to grow that business; and the most recent of banking operations, which we announced in Q1; and the most recent award in commercial identity systems was the license agreement, though not associated with a dollar figure, is designed to incorporate our software into the Tier 1 retailers of hardware.
 Our government identity systems, our focus remains access control, predominantly in military installations. We still operate numerous federal facilities around the country and are expanding into state and local markets with our Fugitive Finder capability. This quarter, we added 2 additional military installations for Q3.
 In the wireless space and some of our newest products, we still look to our Autonomous Active Sensor -- our buoy system. As you'll notice from this image and in the previous slides, this was Hurricane Sandy which affected many of you.  Our buoy system remained deployed during that and we captured real data with live video, as well as weather data during that storm.
 We completed our U.S. Navy demonstration in September. It's significant because not only is it now a research and development product, it is actual live system. The earlier slide shows the actual demonstration in the multiple cameras from the buoy system detecting both security, as well as environmental and radiation-type detection.
 Our market development continues to look to an international presence. We've recently completed our review with our legal analysis, our legal team, for exportability, and we've identified the system and its configuration, we will look to export the system.
 With the overview of the company, I'll now let Bill White, our Chief Financial Officer, to provide the financials. Bill? 
Billy White: Thank you, Steve. Good day to our shareholders, guests and listeners.
 I'd like to discuss some of the financial information that was contained in our press release for the third quarter ending September 30, 2012, which we released this morning. We anticipate that our complete quarterly report on Form 10-Q will be filed with the SEC early next week.
 Revenue for our third quarter ending September 30, 2012, was $2,123,000 compared to $3,595,000 for the previous year.
 Identity system revenues decreased to $1,572,000 compared to $3,421,000 last year, while wireless revenues increased to $551,000 from $174,000 last year.
 Of course [ph], for the 3 months ending September 30,2012, we're approximately $1,353,000 compared to $6,185,000 in 2011.
 The company continues to maintain high gross margins. Our gross profit was $1,567,000 for the quarter or 73.8% as a percentage of revenues. For the 3 months ending September 30, 2011, gross profit was $2,320,000 or 64.5%. The change reflects higher equipment sales as a percentage of our total revenue in 2011 as compared to 2012.
 Operating expenses, which consist of selling, general and administrative and research development expenses increased -- or decreased $62,000 to $1,948,000 for the 3 months ending September 30, 2012, from $2,010,000 from the 3 months ending September 30, 2011.
 Adjusted EBITDA for the quarter ending September 30, 2012, was a negative $102,000, compared to a positive $610,000 in the third quarter ending September 30, 2011.
 The company posted a net loss of $381,000 for the quarter compared to a net income of $306,000 for the quarter ending September 30, 2011.
 As of September 30, 2012, our backlog was approximately $300,000 compared to $3.3 million for the same period last year.
 Our 9-month results are as follows: Revenues for the 9 months ending September 30, 2012, were $8,275,000 compared to $9,616,000; gross profit of $5,755,000 compared to $6,204,000 for the 9 months ending September 30, 2011; gross margin in 2012 for the 9 months was 69.5% compared to 64.5%; operating expenses, $6,060,000 compared to $6,472,000 in the 9 months ending September 30, 2011.
 Adjusted EBITDA was a positive $567,000 for the year compared with $591,000 last year. Net income or loss of $306,000 for the 9 months ending 2012 as compared to $277,000 loss, September 30, 2011.
 Interest net income and expense were negligible for the quarter, and we still have a net operating loss carryforward of approximately $38 million.
 Now I'd like to focus on the company's liquidity and capital resources. As of September 30, 2012, the company had cash and cash equivalents of $2,738,000; working capital, which is defined as current assets minus current liabilities, of $2,644,000. Total assets of $22,473,000; and stockholders of equity of $19,628,000. The company has not utilized any bank financing in 2012.
 During the 9 months ending September 30, 2012, the company generated net cash of $1,343,000 compared to $26,000 for the 9 months ending September 30, 2011. The cash generated from operating activities was $1,284,000 in 2012 compared to $45,000 in 2011.
 We used cash of $71,000 in investing activities compared to 2011 of $46,000, due to slightly higher capital expenditures. Cash provided by financing activities was $130,000 in 2012 compared to $27,000 in 2011.
 During 2011, the company entered into a 2-year revolving credit facility with Silicon Valley Bank. The maximum borrowing under the facility is $2 million. Borrowings under the facility are subject to certain limitations based on percentage of accounts receivable as defined in the agreement that are secured by substantially all of the company's assets. As of September 30, 2012, there were no outstanding borrowings, and unused availability under the facility was approximately $700,000.
 We currently anticipate that our available cash, as well as expected cash from operations and availability underneath -- under our revolving credit facility will be sufficient to meet our anticipated working capital and capital expenditure requirements for the next 12 months.
 We currently have in effect a universal shelf registration statement on Form S-3 with the Security and Exchange Commission. Under the shelf registration statement, the company may offer and sell, from time to time in the future, in one or more public offerings, it's common stock, preferred stock warrants and units. The aggregate initial offering price of all securities sold by the company will not exceed $25 million. And pursuant to SEC rules, the company may only sell up to 1/3 of the market cap held by non-affiliate stockholders in any 12-month period.
 I'll now turn it back over to Steve. 
Steven Williams: Thanks, Bill. A quick market overview in the slide. We reached our 52-week high during the third quarter, market cap was at $40 million and our average daily volume is at $21,000.
 So let's talk a little bit about some of our growth initiatives. As we've spoken before, we focus on trying to grow our revenue. We're doing that through our sales force and licensing and distribution agreements. We previously announced the initial distribution agreement or our license agreement for our software.
 We're excited because that opens several opportunities for us. It allows us to be able to: one, license our software into the hardware vendors, as well as use their existing channel partners to help take us to market; we continue to explore and exploit the cell phone market and the application. As a software company, we look for several opportunities in both the cell phone and tablet markets. The third is the buoy commercialization, the picture on the right of that slide is actually in the middle of the storm. That plant that you see from the buoy is actually several miles away from the buoy. So as you can see, the buoy is not a concept, it's a reality.
 With that, operator, we'll welcome the questions from our investors, and we'll turn it over to you for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Walter Schenker with MAZ Partners. 
Walter Schenker: Two different questions, so they're interrelated. Could you give us some better color -- I mean this quarter was a spectacular decline from what we've seen over the last few quarters. The backlog is now almost nonexistent, and give us a better color as to why we went off a cliff. And the second part of the question is, why should we have confidence as we look to the fourth quarter and the first quarter into next year, that the status quo is not going to continue? Are there any hard as opposed to hopeful reasons why revenues and earnings should recover as we go forward? 
Steven Williams: Thank you, Walter. Let me begin by -- with the couple of very real -- backlog is an issue and that we're predominantly a product company -- in this particular case, backlog was reflected in the buoy contract we won in September of last year. So that's why you see a difference in buoy backlog -- or excuse me, in backlog, they've dropped from 3.3 to 300k. Should we move forward? As we move forward with the buoys, our goal, as you saw in our press release, will to be increase backlog to avoid cliffs. And I can assure you that the insiders, as well as our other investors, no one's happy with revenue and most predominantly, me. So that's a very real concern. And one of the ways we can help address that in no amounts to curve, if you will, will be to increase backlog. And we can do that through long-term buoy orders, as well as some of our licensing distribution agreements.  So that's one. Regarding color, nothing's really changed as far as the company's perspective regarding products. The reasons I showed you some of the buoy pictures, so people don't think that it's just hype. It's real, the buoy's real. The distribution agreements are real. Are they moving as quickly as we like? Absolutely not. Would we like to norm it out so we have a constant, significant, sustainable growth? Absolutely. So nothing's changed. Our products are as stable as they ever have been. And what I envision about it was about $1.5 million. What we see are some movement in the government space, identity, specifically to what we call an enterprise solution. In other words, rather than being able to sell base to base to base, we'll start to pursue an entire government agency-type of solution. So we will partner with those and keep those. But -- so hopefully, that answers some of your questions. And like our investors, we are not happy with the results for the quarter. 
Walter Schenker: And on the licensing and software side, how high, conviction-wise, is supposed to have if that's going to turn around on the commercial side? 
Steven Williams: Well, I don't -- Yes, I think it's less of a turnaround and more of a start. We're -- it took us 1.5 years to get that first distribution agreement in place. Our CTO is on the line. We delivered the first product and sometimes, as in the case with the larger Tier 1s is, rather than start to worry about our little guys and start to see our revenue, they already have 3 to 5 other ideas they want to try. But we don't want to try other ideas, we want to start revenues. So it's expanding opportunity but the immediate target is to get revenue moving. 
Walter Schenker: And we will begin to see that in the fourth quarter or not until next year? 
Steven Williams: Well, unfortunately, we don't provide projections or numbers on forecast. 
Operator: Our next question comes from the line of Amy Norflus with Pilot. 
Amy Norflus: Yes, following up from Walter's questions. Can you kind of go into a little bit more detail about the Motorola contract or the -- I'm sorry, the licensing software contract, and not specifically as to when you might get revenue, but just talk about the opportunity in the markets, number of units, profitability, pricing? And then if you could do the same with the Chase banking deal, that would be great. 
Steven Williams: Sure. So let me talk about the way we license to hardware vendors. So in a hardware vendor, the way we would do it, we use license our software. And we're not focused on the guy that's trying to create a new tettered scanner or a non-tettered scanner or whatever peripheral you choose. We're focused on Tier 1 folks that sell several units into the market space. Otherwise, it would be too much of a demand our support operation to do that. So it's somewhat of a three-pronged approach. The first approach would be the license of software to be included in the unit. The second one would be to create a joint product that would include both their hardware and our software that we would jointly market together. And the third one is the hardware guys traditionally do not want to work in the software space, so when we moved to what we call an enterprise license, and much of what is our bread and butter, is that they would then hand the opportunity to us where that we would go in and sell enterprise license with our organic sales team. So that's the particular one. With regard to banking operations, our focus is enterprise license and software, as you saw, I think it was in Q1. And we still need to move forward on selling hardware across the board, as we've identified with several banks. We've been in the banking operations for many years, and we have operated in thousands of them across the country, if not across the world. So what we've done, is we see a real opportunity, and beyond our credit card initial capabilities into banking operations, whether it'd be identity or efficiencies, that's where we're moving. And that would include both a software component as well as a hardware component. We had mentioned several years ago, we did that with another bank and have been very successful in moving them and having them move into some of their other retailers. 
Amy Norflus: Okay. Now -- okay, jumping to the hardware vendor with the enterprise license, is it going forward? Is it for units that are already enforced? Can you kind of tell us as to what's entailed with what's going on there? 
Steven Williams: Yes, I mean, the agreement is to license to them and to their hardware. But as far as the enterprise license, that would be directly to us. But as far as numbers and forecast, we wouldn't provide those. 
Amy Norflus: Okay. Can you talk about the potential opportunity for this to become recurring, for the price of licensing? 
Steven Williams: Absolutely, that's a great question. So let me help some of our investors a little more clarity. So as a model across the board, as a company, we've traditionally recognized about a 20% revenue recognition on our enterprise license. It would be the same thing with the license on what we call an embedded solution to hardware. So there would be an upfront fee that they would pay, and then we'd pay the recurring fee each year after that, so that you could -- so that we would recognize, on the average, about a 20% recurring on each license sold. So though the initial licenses, it's significant, enterprise is really significant on a perceived [ph] basis, our recurring revenue obviously could also result insignificant. 
Amy Norflus: Would there be any recurring revenue from the 2 contracts that have been signed that we know about with the banking and the hardware business? 
Steven Williams: All contracts are recurring revenues. Whether they're significantly material, we would obviously put out a press release and identify the investors. 
Operator: Our next question comes from the line of Sandra Hanes [ph], a private investor. 
Unknown Shareholder: Yes, my name is Sandra [indiscernible]. Hello, are you hearing me? 
Steven Williams: Yes, ma'am, we can hear you. 
Unknown Shareholder: Okay. In late September, you sold nearly 200,000 shares for more than $350,000. You also exercised options at about $100,000, that means you took a profit of about $0.25 million. My real complaint is you did this only 6 days before the end of the quarter. And you tell us today that this is a terrible quarter? I'm wondering if this media is a little bit of insider information, and why did you dump your stock like this? 
Steven Williams: Thank you. I appreciate the opportunity to answer that call. And obviously, I don't have to. But I -- the way I run the company is the same way I run my life in a transparent situation. So if you'll look at the merger 4.5 years ago, I had options that were expiring. About 2 years ago, we were faced with a similar situation. If you look at my filings just after the last conference call, my file was called a Form 144, declaring that I needed to sell shares in order to cover my options. So it wasn't a taking of profit, it actually was the acquisition of additional shares. So I actually acquired more shares than I sold. I have to pay my taxes, and I could have sold an additional 80,000 shares when the price was still continuing to rise; I didn't. I absolutely would've not -- I would have preferred to sell no shares, but I had expiring options, so I, in fact, paid the company for my shares. So -- but I do thank you for that question because it does provide the opportunity to answer to others who have the same question. 
Unknown Shareholder: Okay. Is it likely that your taxes are not $0.25 million? And that it happened -- so late and obviously known to you in a failed quarter or during a failed quarter? 
Steven Williams: Ma'am, absolutely not. I had nothing to do with it. Absolutely, I purchased of additional shares and paying my taxes. 
Unknown Shareholder: It just seems ominous to me that this happened at this time. 
Operator: [Operator Instructions] Our next question comes from Mark Agada [ph], a private investor. 
Unknown Shareholder: Yes, gentlemen, we're stuck down here in the middle of hurricane-tapped central, so our services have been going in and out, and I had to get back on the line. Would you mind summarizing why we should be bothering to stick around here and see this turn that you've been talking about for the next couple of years? Could you give us some color or salient points on why after 6 or 7 years, individual investors should stick around? I'd appreciate that. 
Steven Williams: Yes, absolutely. We obviously this is our earnings call, and we wouldn't comment on why you should or shouldn't invest. We're providing results of the quarter. So that's a decision that you'll have to make on your own, but... 
Unknown Shareholder: So what can you comment on, how about that? I mean you say that all the time, but the company hasn't done very well over the last couple years and obviously, you can detect the frustration from a lot of people on this call. 
Steven Williams: Absolutely, as are we. We are much -- very much frustrated and want to obviously like to see the company performing better. 
Unknown Shareholder: All right. So how about some color? What's going on that you can talk about? 
Steven Williams: We just presented the earnings call, as well as the capabilities of the company, so that's what we would add to this call. 
Unknown Shareholder: And again, I just told you that... 
Steven Williams: Let me refer you to DGI and Ernie -- or excuse me, Enrique, who's on the call. The IR firm is available to take your calls anytime. If you would like an explanation on the company and how it's performing or more importantly, the products and capabilities, they'll be happy to either schedule a conference call with you or I'll be happy to attend during one of our non-deal roadshows to meet with you and/or your investors to present the company. 
Operator: Our next question comes from the line of Bruce Levine [ph], a private investor. 
Unknown Shareholder: I've come across an article recently, Popular Science about your buoy system. Can you elaborate a little bit more on where these could actually be, I guess, placed because I'm looking beyond, I guess, the Continental U.S.? And has there been any interest as a result of the Popular Science article that's been written on the company because that's what I've been basically following through your company? 
Steven Williams: All right, thanks for the question. For most of our investors, if you're not on our distribution group, again, contact DGI, and they'll be happy to add you to our list. The Popular Science article that you were referring to covered the GS, and we're very proud of that article. It resulted in not only notoriety, but significant questions internationally as well as domestically on the acquisition of the system. So we've been in discussion with many countries around the world, talking about backlog. Previously, our goal here is to develop that market so that we have a backlog order, so we don't realize quarters like we did this quarter. And so the Popular Science has really gotten us national as well as international interest on the capability. That's why we included some photos from the system during the recent hurricane and the Navy demonstration to show the capability. So thank you very much for the question. 
Unknown Shareholder: Okay. Can I ask one follow-up question? 
Steven Williams: Absolutely. 
Unknown Shareholder: Okay. The other question on the buoy is, if there's been other interest from other countries, in what capacity is it? Is it the environmental, is it security or is it basically everything? 
Steven Williams: A little bit of everything. We have seen a couple of interesting things early on as in any research and development. We had a lot of interest in the environmental community. And I would say, during the demonstration and most of our answers most recently is about security. So the system has an ability, that one of our callers asked actually when we were first developing this system, to develop a security invisible force field around the country. So that might have been a bit of a stretch. People now do see the ability of the system to be part around an island, if you will, or around oil drillings or gas drillings to provide security. Or in the Coast Guard's case, it would provide the capability -- something that we learned recently, that if they get a call and it's a distress signal or an emergency, one of the things that they get quickly is they have to go out there. They don't have a choice. They have to validate there is a distress. So there's the cost saving, the efficiency capability for them that if they had eyes on, if you will, a buoy is somewhere in the Puget Sound or the Potomac River, they could see that area several miles away. They could save a lot of money by not having to generate a boat in response. So we have seen it grow, mostly security and efficiencies for some of our end users. 
Unknown Shareholder: Right. Now that you've mentioned, the radiation detectors were mentioned on the buoys, would that be the capability of monitoring shipping containers that are coming in to the Continental U.S. or basically anywhere? Because I know in the state of New York, Shumer's [ph] been talking about the containers that basically everything can't be checked as it comes in. 
Steven Williams: Yes, absolutely. The -- it's a -- the system as we currently have deployed uses a radiation detector similar to the Department of Energy or exact same one, actually. So the Department of Energy plant would -- if they had a problem, their sensors usually thrust [indiscernible] on the ground, would sense a leak or a problem. The buoy is sensor-agnostic. So if it were to detect radiation through containers and maybe some brilliant company out there developed it, we've generated the ability for it to communicate, generate power sustainment and remain in place for an extended period of time. So those are all markets that are yet to be explored. 
Operator: Our next question comes from the line of David Rich [ph], a private investor. 
Unknown Shareholder: I haven't talked on this call for a long time, this is disgusting. I'll be straight up about it. I've been in the stock for 8 years. You have underperformed every single quarter. The conference calls have had no encouragement or whatsoever. Put this company up for sale. Go sell the buoy system. Do something for us. And that sale that you sold at $1.95 was so -- I can't even handle how you would do that. You did it last quarter too. You did it last year. All of you were just selling stock and we, shareholders, are stuck. And this report tells us that this stock is going to 0, unless you guys get on a stick. Why are we paying a PR firm? A PR firm, hundreds of money. Get rid of these people. They've done nothing for you. I could say a lot more, I'm not going to. I'm just telling you, call up somebody and unload this company. And the mere fact that you even said you're going to do a secondary is absolutely -- I know you take that as a shelf. You've put it on there every week. They've ruined the stock 2 years ago, it's still ruining the stock. Well, of course, now you couldn't do a secondary if you wanted to. I don't think you have any answers to what I said, but I think you got to know how upset every single one of us who have fought and helped you and bought stock. And here we are, stuck. I'm finished. 
Steven Williams: Okay, let me address one of your points. We did not say we're doing a secondary, and we were required by the SEC to disclose that we have a shelf registration. 
Operator: Our next question comes from the line of Vladimir Sphere [ph], a private investor. 
Unknown Shareholder: I wanted to ask you, I think you made a statement a few months back that this company is just scratching the surface as far as business goes. And I was just wondering what you were trying to articulate with that statement? 
Steven Williams: Vladimir, I don't recall the specific statement you're referring to. 
Unknown Shareholder: It was recorded. It's -- I probably -- sorry, I may have -- Yahoo! Finance. 
Steven Williams: Well, unfortunately, I can't comment regarding a specific statement. I don't recall that specific statement that... 
Unknown Shareholder: What I am asking you if you can recall or not, what do you think -- what kind of upside is there for the company? 
Steven Williams: Kind of the 3 areas we went over. In the buoy, in the wireless, it's the buoy system; the commercial identity, it's the distribution agreement we mentioned; and then on the government identity space, is the cell phone applications. 
Unknown Shareholder: And does the company having any traction in this driver licenses? 
Steven Williams: Absolutely. We have several thousand seats of the driver's license. We have 10 U.S. patents, 2 Canadian patents and 1 U.K. patent in reading drivers' licenses. So the license agreement that you've seen us announce are agreements because of our patents. So, yes, we are recognized as the leader in driver's license reading and scanning capability. 
Operator: Our next question comes from the line of Howard Doors [ph] with Wunderlich Securities. 
Unknown Analyst: It's Howard Browse [ph]. Steve, I think you've got a firestorm here. A client of mine called me up and just to follow up the young lady from Pilot Advisers, one was this attendee 5-1 plan? 
Steven Williams: It is not. 
Unknown Analyst: Okay. Secondly, when did your options expire to the client... 
Steven Williams: Well, the -- yes, the options expire, I believe, in Q1 next year. And as you know, the 2 windows between then and now on expiration were the end of that quarter, Q3, and the next 15 to 30 days before the end of Q4. 
Unknown Analyst: Again, this comes from a friend of mine, of the client, who is a significant owner. Do you think this was a good choice in terms of when you sell it and he certainly would like to -- obviously, asked a question, what did you know about this quarter and when did you know it? It really looks ugly, Steve, it truly does. 
Steven Williams: Yes, let me address that. So obviously, I didn't do anything to trade based on information I had regarding operation of the company. And as I mentioned to the lady, and I don't believe she was with Pilot, I believe she's a private investor. It was -- the 144 was filed after the last conference call when we came out of the blackout period. So those shares, they're available for trading at that point. I had nothing to do with that. And also, if you look at our historicals, we traditionally do well in Q3 due to government sales, Defense ID, Fugitive Finder, because it's the end of their fiscal year. So I absolutely did not, and if you -- the stock price actually continued to move up during that period of time. 
Unknown Analyst: Let me also come back to the sound of buoys. I've listened to the call very carefully, I still would like a little bit more guidance. You've talked in the past about certainly potential in the Caribbean. Where do you stand in terms of its -- some additional information on that already plays out. Do you have permission to sell? Have you got your licenses? 
Steven Williams: Yes. A great question. So let me explain a little bit more on the international market. So during the research and development, we had to get the okay from both the Navy, as well as commerce and states. We went through what they call their ETN certificates and their license agreements. So we have to identify a configuration, which we have done. That does not require licensing. And that's been submitted. So the guidance from counsel is we do not have a stock we can sell abroad. There will be obviously certain components that we'll not be able to export. There will be certain that we'll need a license. But the buoy system, as it is today, without those components, and I'll use widget x, that buoy is operational and available to sell internationally, with obvious exceptions in certain countries, that are excluded by the State Department. So to answer your question, yes, we've been clear to sell our product. 
Unknown Analyst: So my last question to wrap it all up in terms of this, do you -- how optimistic are you in terms of achieving sales? And just as attention to that question, what dollar amount per buoy could we be talking about? 
Steven Williams: Yes, let me -- good question. Let me -- I'm not going to say specific to quarter 1 to quarter 2, whatever. But am I optimistic? Absolutely. The buoy system, if you see it -- and I'll be happy to come to the year-ender for your clients for the non-dealer roadshow. It sells itself when you see it. Four years ago, when we built it, people told us we couldn't put a camera on it. Do I think it's a market that's yet developed? Yes. It basically what we are doing that's created a tower in the water, ability to generate power. And you don't have to take my word for it. Back to your first question, as I mentioned earlier, if I was selling shares to take profit, I could have sold another 80,000 shares. I didn't because I believe in this company. I believe in the stock, and I'll believe it will go up. 
Operator: Our next question comes from Michael Negi [ph], a private investor. 
Unknown Shareholder: I've been a shareholder for quite a while, and I'm thinking -- I'm sure a lot of people's feelings and emotions are what they are, but I still have confidence in the company because you guys are still liquid. And in the bad economy, down economy, the fact we are liquid, I think that speaks volumes. You cut operating expenses, so I think that's a good thing. So I mean, if you look all across the market and everyone's taking hits. So we're still well above -- or we're a couple of years ago when we hit below $0.50 a share. So anyway, keep up the good work. I believe in what you guys are doing. 
Steven Williams: I thank you for your comment, so let me add little bit. Of course, we're all upset as you all are on the sales revenue. The good thing is 1.5 years ago, we changed some of our cost structure that we're only down $100,000 on EBITDA, and we're still up for the 9 months. Are we happy? Absolutely not. But we would continue, and do we believe in our products? Absolutely. 
Operator: Our next question comes from the line of Arthur Winston of Pilot Advisors. 
Arthur Winston: This is not a question, but an observation and a comment. I think that it shows disdain for shareholders and more or less low character for you and all these other people who don't work and just sit on the conference call where they get paid by the company to sit there and really not explain what's going on at the company and not answer these questions. I mean, you're not kidding anybody but yourself. I'm finished. 
Operator: Our next question comes from the line of Jode Juriny [ph], a private investor. 
Unknown Shareholder: One of the issues that came up was the sale of stock, but one thing I think should be noted is you still hold 450,000 or 460,000 shares, am I correct? 
Steven Williams: You're correct. My share position actually is larger than it was previously. 
Unknown Shareholder: And so there hasn't been any sales of your personal stock holdings. It was only exercised options. 
Steven Williams: Well, actually, I sold shares that I held to buy the options, correct. 
Unknown Shareholder: Correct. Okay, I just wanted to clarify that. 
Operator: There are no further questions at this time. I'd like to hand the floor back over to management for closing comments. 
Steven Williams: Thank you, operator, and we look forward to seeing you on the next conference call in the beginning of the year. Thank you. 
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation. [Operator Instructions]